Bronwyn Nielsen: Hello, everyone, and welcome to the Lesaka Fiscal Third Quarter 2022 Earnings Webcast. At this time, all participants are in listen-only mode. As a reminder, this webcast is being recorded. With me for the webcast today are Chris Meyer, Group CEO; Lincoln Mali, South African CEO; Steven Heilbron, Head Of Merchant Business, and CEO of the Connect Group; and of course, Naeem Kola, Group CFO. A reminder to everyone that we are streaming, both a webcast as well as a teleconference. Dialing into the webcast will allow you to see the management team and the presentation they will be presenting versus dialing into the teleconference, which will only stream the audio. Both links as well as our press release are available on our investor relations website. As a reminder, during this call, we will be making forward looking statements. And I ask you to look at the cautionary language contained in our form 10Q regarding the risks and uncertainties associated with forward looking statements. Our results are discussed in South African Rand, which is non-GAAP. We analyze our results of operations in our press release in Rand to assist investors in understanding the underlying trends in our business. As you know, the company results can be significantly affected by the currency fluctuations between the U.S. dollar and the South African Rand. We will address any questions you may have at the end of the presentation. For those joining us via the webcast link, you can submit your questions via the webcast page. For those joining via teleconference. You'll be given the opportunity to raise your questions at the end of the presentation. With that, it's my pleasure to hand over to your group CEO, Chris Meyer. Chris?
Chris Meyer : Thank you, Bronwyn. Good day, and welcome to our third quarter to earnings webcast. Taking a quick look at today's agenda, I'll introduce our new brand and corporate identity, provide some highlights and an overview on our FY 2022 strategic focus areas. Steve will introduce the Connect Group. Lincoln will focus on the progress we've made on our strategic focus areas, and Naeem will discuss our financial performance for the period.  I would also like to take this opportunity to thank our shareholders for voting in favor of Lesaka as our new name. Lesaka marks the beginning of a new era for the group shaped by the strategy we committed to almost a year ago. [Audio/Video Presentation]
Chris Meyer : Our opening video unveils our new name Lesaka and explains how our identity as Lesaka authentically represents our commitment to the local communities we serve. This is a key milestone in the evolution of our business and is timed to coincide with the transformational acquisition of the Connect Group, which is an important building block in achieving our stated objective of establishing a leading FinTech focused on providing innovative digital solutions to merchants and consumers in Southern Africa. The combination with the Connect Group creates an exciting opportunity to integrate the 2 complimentary businesses and to provide financial inclusion for consumers and merchants in Southern Africa. We are focused on taking advantage of the significant growth opportunities that our increased scale in our key markets opens up for us. As Lesaka, we have a very clear focus on micro small and medium enterprises in the formal and informal sectors together with our underserved consumers in our country. The Connect Group will be the cornerstone of our merchant business, and we aim to leverage Connect Group's excellent track record in delivering growth and profitability through its innovative solutions for MSMEs. We believe we can make a real difference in this space, as we have the ability to not only facilitate the digitization of cash for our merchants, but we can also provide them with an end-to-end solution incorporating cash management and payment solutions, card acquiring, provision of growth, capital VA, distribution, and supplier payment integration. We estimate that together with the Connect Group, we currently have less than 1% market share in the formal space and less than 4% in the informal space. Turning to our consumer business, there are approximately 26 million people in South Africa who fall into our target market. These consumers still predominantly rely on cash for common transactions. And whilst financial inclusion has increased the utilization of insurance credit and savings remains low. As a group, we currently service just over 1.1 million customers or around 4% of this market, presenting us with a significant opportunity to scale the provision of our affordable banking lending and insurance products in this market. Together with the Connect Group, Lesaka has over 58 and a half thousand touch points with our consumers and merchant customers positioning us with a significant opportunity to gain market share in this estimated $11 billion market. Since embarking on the transformation of Net1 in early 2021, we have steadily building our leadership team. I'm both excited and humbled by the caliber of those who have chosen to join our team. Most walked away from big jobs, successful careers, or even their own startup businesses to join this mission of financial inclusion and the potential that it offers. We now have an excellent mix of operational and FinTech experience, entrepreneurial flare, leadership and corporate governance to really develop this business into the leading FinTech company in South Africa. Turning to our financial and operational highlights for the third quarter, we reported total revenue of $35.2 million, which is an increase of 27% year over year on a constant currency basis. And 22% on a dollar basis. Our South African operating segments returned a normalized segment, adjusted EBITDA profit of $344,000 this quarter. And whilst this excludes our non-South African overhead and United States listing related costs of $2.6 million, it is a significant milestone. Segment adjusted EBITDA in the merchant business improved to $1.3 million underpinned by recovery in our merchant revenue. Segment adjusted consumer EBITDA improved to a normalized loss of $1 million positively impacted by the cost optimization and restructuring operations via project spring, which has been a major focus for us over the past 9 months. The work completed to date should result in annual cost savings in excess of ZAR 300 million per annum, or $19.2 million from our consumer segment cost base going forward. Our total customer base grew by around 38,300 active customers ending the quarter with just over 1.1 million active accounts. Our lending book expanded 6% year over year to $24.7 million. Transforming Lesaka into a leading Southern African full service FinTech platform requires focused efforts and consistent delivery on our 4 key pillars, which are growing the merchant business, returning the consumer financial service business to break even, being a world-class FinTech organization, and developing stronger and deeper relationships with our key stakeholders. Growing our merchant business with the transformational connect group acquisition competitively positions us to capitalize on an exceptional growth opportunity, especially in the informal market. Our strategy in returning the consumer business to break even is focused on 3 levers, grow active EPE customers, grow RP and optimize costs. Optimizing costs is the lever which moves the needle the most in the near term and resulted in a strong improvement in our Q3 EBITDA loss, demonstrating the operating leverage in our business. This is real evidence of the turnaround and shows our efforts are yielding results. However, there are challenges such as the complete transformation of our business and culture from one which was focused on the logistics of efficiencies, distributing to over 10 million grant recipients each month to a sales focused organization. These challenges have resulted in the activation of new accounts being slower than we anticipated. We continue to work towards achieving a monthly EBITDA break even position for our consumer business by the end of the fourth quarter, but it may take longer than we originally anticipated. Regardless, we will continue to show considerably improvement for where we started a few quarters ago. Turning to our third strategic focus area of building a world class FinTech platform, on the last earnings call, I highlighted the importance of being able to retain and attract talented people to the organization. This is not only evident in the caliber of our new senior leadership team, but extends to a regional and local management level where we have seen the same enthusiasm and inspiration from our vision with high caliber people, leaving successful careers at organizations across the world to join us on our mission. Our fourth and last strategic focus area has been on improving stakeholder relationships, which Lincoln will touch on. And undoubtedly, the recent closing of the connect group acquisition marks the significant transformation of our merchant segment and Lesaka. I would like to ask Steve Heilbronn, the CEO of the Connect Group to introduce the Connect Group business in more detail. Steve?
Steven Heilbron: Thank you, Chris. At the onset, let me say how excited we are to be joining Lesaka at this stage. As we join forces to provide innovative solutions to both merchants and consumers in the last mile. We've been engaged with Lesaka now for some 15 months. And as our negotiations progressed, it became very clear to us that our mission and that of Lesaka's were so closely aligned in our quest to service the last mile and our business is so complimentary that it made perfect sense for both parties to make this deal happen. We at Connect Group are extremely pleased that today we are part of Lesaka. I'm aware that the market would've been looking forward to receiving pro former numbers for the combined group but given that the acquisition closed after the quarter and connect group prepares their financials under IFRS, we are waiting for final U.S. GOP converted numbers to be signed off by our auditors. Once this is done, these will be filed and will be available for your review. Notwithstanding I'm hopeful that I can share enough about our business, what we do, the market opportunity that exists and how we disrupt through innovation and financial technology so as to get you as excited as we are. I'd like to use this opportunity to run through our key product offerings and provide a bit more color on how our solutions aim to assist merchants with many of the pain points that they experience in their day to day business lives. When we started this journey, we believed that we could use financial technology and innovation to solve various challenges that formal and informal merchants face on a daily basis and in doing so help promote real financial inclusion at the lower end of the merchant market. It's important to understand that we operate in 2 sectors of the SME market in South Africa, the formal and the informal sector. The formal sector includes traditional merchants that are generally doing in excess of 150,000 per month can accept various forms of payment and have access to the formal banking market. However, the informal merchant sector, which targets the lower income levels and represents a significant part of the south African market is still very much a cash society. Approximately 90% of these merchants' transactions are still conducted in cash, which not only presents the security risk, but also restricts the merchants from access to traditional financial services. Our products and solutions have been tailored to address the pain points that both formal and informal merchants face and provide them with the opportunity to grow their businesses. Our cash connect offering provides merchants with a safe and secure trading environment, combining robust hardware with creative software, producing a FinTech enabled vault solution, which is placed in the merchant store. It allows for the immediate transfer of cash risk away from the merchant from the moment that cash is deposited into the vault. And as importantly, digitizes cash, providing merchants with instant access to the cash flow to buy inventory, pay staff, or meet other working capital requirements. It's effectively putting the bank in the store. Cash connect is currently predominantly a formal merchant solution. Although we are seeing encouraging growth in extending this into the informal sector. Through this technology and innovation, we have created a much needed, safer and more efficient trading environment for merchants in South Africa. We have approximately 4,000 cash vaults installed at retail merchants around the country taking in $99 billion for the 12 months ended February 2022. A natural evolution of our business was to extend our reach into the card payment space. Our card connect solution is predominantly targeted at the formal SME market in South Africa. This is a very competitive market space and difficult to differentiate. We do however, have some exciting developments in the pipeline, which could prove to be very attractive proposition for certain merchants in the sector, in the informal market. This nascent card payments opportunity is very exciting for us, and we do have a distinct competitive advantage because Kazang Pay is our card solution in this market. Traditionally, card and post terminals have historically been too expensive for these store owners, but we've been able to position this offering at affordable prices. Further, our technology allows us to provide merchants with instant settlement on car transactions rather than waiting for the normal 24 to 48 hours for funds to be made available, which is very important to these merchants. As well as facilitating card acceptance for purchases made Kazang Pay also includes a cash back capability, allowing customers to draw cash at all. Kazang Pay is a significant growth opportunity for us. In November 20th, 2014 months ago, we were doing $5 million per month through these devices. As of Feb, 2022, we exceeded $300 million for the month supported by a strong historic and forward growth trajectory. This brings me to another major pain point, which our merchants face, being the need for quick access to capital to grow their businesses without the red tape and time consuming processes that comes with the traditional bank offering for formal merchants, all the risks involve with borrowing from informal lenders or loan shark operations that our informal merchants may turn to. In response to these challenges, we launched Capital Connect in the formal sector, which allows us to provide merchants with quick access to growth capital. We very proud to have won the retail funder of the year at the 2021 FinTech awards for this innovation. We are excited about this product. It challenges, convention and has proved to be disruptive. Capital is approved in under 60 minutes and is in the merchant's account within 24 hours. This capital is provided through our assessing the merchant's existing transactional data and ancillary data points through our digital ecosystem. From inception to Feb 2022, we have extended $1.2 billion's worth of capital to formal SME merchants for our informal market merchants. We have extended our Capital Connect offering through our Kazang advanced solution, which is available exclusively to our Kazang Pay clients. We have detailed data on these merchants' operations and as with capital connect, we are able to quickly assess and approve capital, allowing our merchants to grow their businesses and manage working capital more efficiently. This is a recently launched solution and amongst the first of its kind in South Africa in the informal segment. We are encouraged that we have sold for a real need and that we have already experienced significant uptake to date. Another major offering in the informal market is the Kazang Connect solution, which has experienced excellent uptake. This multifunctional device provides broad utility, including the ability for the informal merchant to sell value added services to their customers, such as airtime, mobile data, WiFi, and prepaid electricity. It allows customers to pay their bills for water, DSTV and other bills in the shops, buy sport and gaming and lottery tickets, including facilitation of payouts and allows their customers and themselves to make local and international money transfers as well as send international airtime to friends and family. This bouquet of products is ever expanding with a dedicated business development team focusing on launching new offerings. In addition to providing the above draw card, which attracts potential customers into their stores, Kazang Connect allows merchants to streamline their operations by facilitating the merchant's ownable and supplier payments through the vice ecosystem. We now have approximately 46,000 informal merchants using our Kazang connect devices, representing a significant footprint in this market. A further advantage is that Kazang connect devices can also be configured as Kazang pay POS devices. So, this is an opportunity which really provides an advantage in the informal space and a valuable solution to our merchants, bringing customers into the stores and facilitating card payments while providing immediate cash flow. It allows Lesaka to establish a deeper relationship with our informal merchants and a better understanding of their businesses. When you look at the size and scale of the existing banking infrastructure in South Africa, you will understand that if we are able to capture a very small percentage of the traditional banking market, then our growth into the merchant space could be exponential. The high adoption rate of our cash connect capital connect and card connect solutions is evidence that merchants have a real need for quick, easy access to affordable FinTech enabled capital card and cash solutions. Likewise, with the adoption rate of our Kazang Pay, Kazang Connect and Kazang Advanced Solutions in the informal market, we are extremely encouraged by our experience and anticipate significant growth in the arena. If we turn our attention to some of the key revenue drivers of the Connect Group, it is clear that we've been able to achieve significant growth in our business. Despite the last 2 years being severely disrupted by the COVID pandemic. Looking at our Kazang business, providing VAs and bill payment solutions, we've seen a 3-year compound annual growth rate of 26% in device growth resulting in around 46,000 active deployed devices. As at fed 2022 and a 3-year compound annual growth of 53% in transactional throughput values to $19 billion for the 12 months end at Feb 2022. This has been a real success story and demonstrates the value that we bring to our informal merchants through this offering as discussed our card connect and Kazang Pay business provides payment solutions to our targeted formal and informal merchants, respectively. The launch of Kazang Pay solution provided a significant boost high activity in this area, recording a combined increase in deployed terminals of 249% in the past year with an 81% increase in transactional 3 put value to approximately ZAR 5 billion for the 12 months ended Feb 2022. Our cash connect business, which targets predominantly the formal SME sector has been very resilient during the disruption over the past years and returned a 3-year compound annual growth rate of 18% in transactional throughput to $99 billion for the 12 months to save 2022 with the recent expansion into the informal sector, as well as expanding our market share in the formal sector, we anticipate this good growth to continue. Finally, our capital connect solution has also witnessed significant demands since inception. We've seen a 3-year compound annual growth rate of 58% in the number of loans extended and a 69% compound annual growth rate in loan capital advanced as mentioned, we have advanced 1.2 billion to SMEs since inception and closed Feb 2022 with a loan book of ZAR 211 million being 64% up for the 12 months ended Fe 2022. These are very exciting Rams for us and with the Kazang advanced solution recently being launched, we are looking forward to continuing these trends in our capital and loan business. SMEs are the lifeblood of the South African economy, and we are absolutely passionate about providing this group of entrepreneurs with capital to grow their businesses. The connect group is positioned to continue its excellent growth trend that it has achieved over the previous years. What is most encouraging is that this was during a period of significant uncertainty and turmoil in our markets with the economy, recovering from the COVID pandemic and the innovative solutions that we have to offer to our targeted merchants. We are very excited by the prospects for the business, especially as part of the greater Lesaka business with respect to the informal merchant market and low income consumer market, Lesaka and connect group have both made significant inroads in bringing financial inclusion to the underserved. In the process of servicing these market segments, we have developed an infrastructure which allows us a distinct advantage in last mile delivery. Few businesses have taken that risk in the informal markets, but we have done so very effectively and have developed solutions which can profitably deliver to this very large market sector in South Africa with the technology platforms, software solutions and data that we have in this market. We are well placed to be a dominant player in our targeted merchant segment over the next few years. Thank you. I'd like to hand over to Lincoln, who will take you through the performance of the existing merchant business and consumer segments. Thank you, Lincoln.
Lincoln Mali: And Steve, it's great to have you on board. I'm really looking forward to working with you and your team. Good day, everyone. While we're dealing with the merchant segment, I'd like to briefly run through the operating performance of the existing merchant business, which grew segment revenues by 58% year on year on an end basis. In the previous 2 quarters, the performance of our point-of-sale business was negatively impacted by the global chip shortages. Although this shortage continues in the market, we have been able to catch up on client orders during this quarter. In our EasyPay business, we saw pleasing increases in vast value processed, in prepaid electricity, and prepaid airtime of 12% and 142% respectively. Our bill payment volumes increased by 6%. Moving onto our consumer segment the last quarter. And indeed the last 9 months have been a very busy time for everyone. And we have made very good progress on a number of fronts. We realize that in order to design products and services that meet the needs of our customers, it is important to gain a deeper understanding of our customers, their spending and saving trends, why they choose us and why they leave us. We're inspired by what we have learned and continue to learn. Although a large portion of our targeted customer base is banked, there is a large cohort who are currently underbanked with limited access to formal services, such as lending and insurance. We have focused our efforts into understanding what these customers are looking for, the best channel to engage them with, what competitors are offering and where we can disrupt the space by designing the right innovative products that truly meet their needs. Utilizing the knowledge, we gained on these customers and the investment we made and continue to make into improved data analytics capabilities, we developed effective marketing campaigns and incentives to drive customer growth. We're encouraged by the results of our recent promotional champions league and switch campaigns launched during the latter half of March, 2022. And we anticipate these initiatives to reflect improved growth in the fourth quarter. Active EP account numbers at the end of third quarter were just over $1.1 million. We added approximately 28,600 net active EPE accounts and 9,007 net active EP light accounts over the period. Transitioning the business into a sales driven customer centric financial services provider is a huge challenge with active account growth being slower than what we had anticipated. However, we did register 136,000 growth account openings during the quarter. And we initiated a work stream focusing on improving account activation and utilization. This includes the introduction of a dedicated call center focus on assisting customers with activating their accounts. Additionally, our sales force is now incentivized on account activation and not merely account openings. Turning to our loan book, approximately 198,000 new loans were issued in the third quarter with a capital value of around 280 million ending the quarter with an outstanding balance of ZAR 359 million. An 8% penetration into our customer base was achieved with approximately 450,000 loans outstanding of which 45% were initiated by repeated borrowers. The average loan size increased by 10% year on year in currency. The performance of the loan book remains very good with the loss ratio of around 1%. The last lever in retaining the consumer business to profitability is the cost optimization. As Chris highlighted in the last quarter earnings call, pursuant to our review and optimization of the overall cost base. We launched project spring, which involved a significant staff reorganization and the rationalization of our distribution network. The combined cost savings that project spring is estimated to deliver is in excess of ZAR 300 million or USD 19.2 million on an annualized basis. The reorganization process, which resulted in a large number of employees being retrenched was a painful and disruptive process that we went through and completed this quarter. However, as we have begun to reenergize the team through leadership, visibility and engagement, I'm pleased to see the improved morale in the teams throughout the country. In order to better service our customers in their communities, we continue to assess our points of presence to ensure that we have optimal representation to enable us to continue to have a significant advantage in the last mile. To this end, good progress was made in optimizing our distribution network. Our large fleet of mobile ATMs and associated distribution and security costs have been eliminated. Over 50% of our ATM network was repositioned into more productive locations within retailers. These locations provide a significantly greater footfall in longer operating hours than our branches, which will have a positive impact as this is the channel the majority of our customers utilize. Although cost savings during this quarter were largely offset by the associated project spring reorganization costs of ZAR 91 million or USD 5.9 million on an normalized basis, we saw an encouraging 86% improvement in EBITDA loss year on year. As a quarter 2 result, Chris spoke about what it takes to build a world class FinTech organization and [indiscernible] spoke about the senior leadership team that we have put together and the range of skills that they bring to Lesaka. This is the group that will build a culture and create an environment where everyone in Lesaka can thrive and outperform day in and day out. In order to achieve this, everyone must believe in the mission we are on here at Lesaka to deliver financial services to the underserved consumers and merchants of Southern Africa. The entire leadership team and I are committed to creating certain environments, an organization that people are proud to work at. It is not just our jobs. It is our mission. Building a lasting relationship in the communities in which we operate is of paramount importance in building trust. We identified key stakeholders in each of these communities and have focused our efforts on building deeper relationships with community leaders. As part of our CSI initiatives, we continue to work in the communities to offer financial education, sponsor leadership, sponsor a number of branded blankets, wheelchairs, and large freshwater tanks. With the recent flood experienced in [Durban], we channeled funding to assist those communities in need. And our staff drove an initiative where they made personal donations to assist some of those families who were displaced. We continue to build our relationship with SASA through regular constructive engagements at both national, provincial, and local level. Taken together, these partnerships are an important part of our strategy to increase Lesaka's visibility and broaden our growth opportunities. I will now hand over to Naeem to discuss the financials. Naeem?
Naeem Kola : Thank you, Lincoln. Now let's turn to the details of our financial results for Q3 as well as provide some visibility on the outlook. Overall, I'm very pleased with what has happened and has been achieved in this quarter. With the positive trends in revenue, costs, and EBITDA being reported. As has been discussed in our third quarter performance, has been characterized by strong performance in our merchant business and the continued execution of the turnaround on our consumer segment consistently showing improvements over the past 3 quarters. On a reported basis, total revenue for the quarter was $35.2 million, which was 22% increase year over year in U.S. dollars terms and 27% year on year on a Rand basis. We have seen a 34% improvement in our operating loss from $14.3 million in 2021 to $9.4 million this quarter, which is after accounting for $5.9 million in one of restructuring charges as part of project spring. We have also taken out hedging contracts as part of our currency risk management in order to protect the cash we were holding for the connect group acquisition, these matured in February, 2022. And we recognized again on these contracts of $6.1 million during this quarter. Overall, we reported a net loss position of $3.3 million for the quarter on a quarterly and a year-to-date comparison. This is an improvement, which we are very, very pleased to report. Turning to our business segments. I want to remind everyone that this segmental disclosure was initiated in our fiscal second quarter. We manage our business from a customer-centric perspective and have split it into a B2C consumer segment and a B2B merchant segment. I will start with the merchant segment, which is the main driver of the higher revenue number for the quarter. Merchant revenue to external customers was $18.4 million. This contributes 52% of our group revenue increased primarily due to the higher device sales. The global chip shortages have resulted in delays in fulfilling client demands for point of sale devices in the first 2 quarters resulting in a buildup of orders, which were satisfied during this quarter. We have 2 models for selling air time. The first one is a wholesale model where we acquire and hold the inventory on our balance sheet. Sales for this model are classified as telecom products and services in our revenue disclosures. On a year-on-year comparison, we did see a drop in this revenue largely due to one of our key clients scaling down the operations. The second model for selling air time is the agency model where income is classified as processing fees. Notably, this is the larger driver of revenue. Processing fees were up healthy 19% in dollars and 25% on the Rand basis compared to last year. Benefiting from increase in bulk payment volumes, the sale of electricity and air time through our easy pay point retailers and with new customers, such as capital coming on board. Turning to our consumer segment as LinkedIn elaborated earlier, we have been very focused at returning the segment to profitability. At the revenue line, we saw a slight increase of 1% in dollar terms compared to 2021 and 6% on a Rand basis. Account fees, processing fees and lending revenues were all in line with last year. Our insurance sales was up by 27% in dollar terms and 32% on a Rand basis, primarily due to inclusion of a new credit live book growth. Excluding this book was 7%. The financial highlight for us in the consumer segment was the progress that we have made in our cost cutting efforts on the project spring. The reorganization process was completed during this quarter, which resulted in a restructuring of the employee base, taking into account our transformation from a business focus on distributing millions of grants each month to that of a sales focus customer orientated business. In total, we expect project spring to deliver and access of $300 million, which is $19.2 million of cost savings on an annualized basis. This represents approximately 20% of our consumer cost base and positively contributes to our consumer turnaround strategy. The impact of the cost saving initiatives over the past 9 months has resulted in a significant contraction in our expense operating expenses line and a very encouraging trend in our cost to income ratio. At an EBITDA level, the turnaround strategy is becoming very evident with a consistent improvement in our EBITDA since the first quarter of fiscal 2021. The consumer segment achieved a normalized segment, adjusted EBITDA loss of 1 million this quarter, compared to last year's quarterly loss of $7.6 million. When combined with a merchant segment EBITDA of $1.3 million, we recorded a normalized adjusted EBITDA of $0.3 million excluding corporate costs related to our United States listing and non-South African overheads. This is an encouraging result after all the efforts put in by the team over the last 9 months and demonstrate the commitment, we have to turn the business around and to deliver on the strategic pillars that Chris and Lincoln spoke about earlier. Looking at our lending book, our lending book saw a 6% year on year growth in constant currency basis. After a seasonal peak in December, we ended the quarter with a gross loan book of $24.7 million or 359 million. On a portfolio loss ratio remains low at approximately 1% for the quarter, with our improving client data and implementation of conservative criteria on all new and repeat borrowings, we expect to see good contributions to our performance from our lending activities in the coming quarters. From a cash flow perspective, we continue to make improvements with a reduced reliance on cash reserve to find operations. Our cash burned rate was reduced significantly this quarter and on a normalized basis was down to a negative $142,000, which is a very encouraging number for me. Our performer net debt position, as you're aware, we had unrestricted cash reserves at the end of quarter of $184 million. However, our cash position has changed significantly post the quarter end with the closing of the connect group acquisition on the 14th of April, 2022. As disclosed now press release, we have utilized $147 million of our cash reserves to fund acquisition with an additional 93 million of debt raised. We also took on net debt position of connect group of $70 million on a pro-former basis. As of 31st March, this will place the company with a net debt on its balance sheet of $126 million. We are busy reviewing our capital structure and working with our bankers and advisors to ensure we achieve an efficient, long term sustainable capital structure for our business. As with last quarter, we continue to hold our [MobiQuick] investment at $76 million in line with the last capital raise. And our [CELC] investment is held at 0. We see both these investments as well as fund born in carbon as non-core and would look to divest of these assets in a responsible manner should the opportunity arise. Overall, I am really pleased with the results this quarter. We are on a journey to transform this company into a world class FinTech business, and the actions taken over the past 9 months are starting to demonstrate that this team can deliver on the strategic pillar that we have put forward. I look forward to our next presentation when I'll be able to provide more detail on the financial impact that Connect Group has on our business. I would now like to turn the call back over to Chris. Chris?
Chris Meyer : Thank you, Naeem. During the fourth quarter, we will continue to focus on our strategic pillars for FY 2022 with the connect group acquisition. Now formally closed, we can turn our attention to the successful combination of the 2 businesses and capitalizing on the growth opportunity, which the sector presents. On the consumer segment, growing the active account base is our biggest challenge, but we continue to make progress focusing on our Salesforce product marketing initiatives and more effective distribution channels. With that, we'd like to turn the call over to Bronwyn for the Q&A session. Thank you.
A - Bronwyn Nielsen: Welcome to the Lesaka Q&A -- investor Q&A, and you've done a good job in presenting the results, the rebrand. You're back now for the questions from the investor community. We of course have a conference call, and we have a webcast. If you're on the conference call, to ask questions, you need to push star then one. And if you are on the webcast, simply type in your questions and we'll see those coming up on the iPad. So, I'm going to open to anybody on the conference call at this stage. Are there any questions to come through from that side?
Operator: Yes, we do have questions on the line. The first question is from Ngozi Dozie from Kaizen Venture.
Ngozi Dozie: Congrats on the presentation and the acquisition. Question to Naeem Kola. I'm a Co-Founder of Carbon. Just wanted to clarify your comments, we're very keen to have a legitimate exit and we've been trying to do this for some time. And what would it take for us to exit from carbon? Similar to your other investors that have written off.
Chris Meyer: Can I take that one?
Bronwyn Nielsen: Yes, of course you can, Chris.
Chris Meyer: Nice to hear from you. Thank you for taking the time to listen to us today. As we've spoken in the past, we've been a supporter of yours. Our strategy here in South Africa has changed fundamentally in terms of our focus and new direction as Lesaka and happy to continue to engage. We'll take it outside of this and pick up your question directly, but thank you for taking the time.
Bronwyn Nielsen: Any other questions coming through on conference call?
Operator: Yes. Our next question is from [Raj Sharma.]
Unidentified Analyst: Thank you for a solid presentation of the new business and the combination. Is there anything you can talk about in terms of how the connect group did individually and how it's--what kind of revenue or growth we can foresee going forward? If you could give some more color on that, that'd be very helpful. And I've got a few more questions after that.
Chris Meyer: Raj, as we've said so far, as much as we want to share today, and Steve said it earlier some of the numbers around the connect group, we are waiting for a few things. In particular just to get audited and signed off financials and then consolidated proformas. And we've got 75 days from date of close of the transaction to release those performers. So, we are very eager to share some information with you. You've seen what we've been able to disclose thus far. I think, maybe the one number I'd point to again, is the EBITDA for February 2022 was warranted at ZAR 375 million. So, that's an important point. And then I maybe ask, Steve might comment a little bit around some of the historical performance that might give you a sense of where we are.
Steven Heilbron : Sure. Raj, I think historically the business has returned a 40%, 5-year compound growth rate in EBITDA. So, that's from 2017 to 2022. We did share with you some of the fundamental through points, which are historic numbers, which underpin the cash card capital and various payment offerings. And essentially these fundamentals continue to underpin the business. As Chris said, I think when we get to the fourth quarter, you'll then see our combined numbers. And as soon as our conversion for my RFRS is complete to U.S. GAAP we'll, those will be filed, and we'll share them directly with you. But I think the fundamentals, as we said, historic do underpin where we sit today.
Bronwyn Nielsen: Raj, you've got additional questions. Go ahead, please.
Unidentified Analyst: Yes, thank you for that, Steve and Chris. Can we talk a little bit, maybe this is for more for Lincoln? What are the strategies and can you give more color around SASA any traction with SASA accounts, any marketing, any developments there on the consumers side?
Lincoln Mali : Yes, sir. Thank you for your call. I think that the fundamental principle that SASA has adopted is to give customers choice or grant beneficiaries choice so that they can go to any financial institution. And because we are primarily focused on these customers, we see ourselves as heavily in advantage in that. And so, we've spent a lot of time building our relationship with SASA, going through with them at provincial NA local level, to see how we can turn many of the open accounts into active accounts and to reduce the friction that's there. So, we are making good progress on that. And we want to see in the coming few months more of that progress coming through.
Bronwyn Nielsen: Thanks very much to Raj Sharma there. So we've got a question from Ben Pula from Signal Asset management, and he's asking on CELC. The CELC investment has been written down to 0, assuming ZAR 11 billion in debt. However, the proposed restructure cuts of station half significantly benefiting the owners of the equity. Why was this proposed reduction in debt not taken into account when valuing CELC? And two, do you think there will be any recovery in value if the current restructuring plan is finalized? I mean, I also want to include Philip Short, who also wants a quick update on CELC recap and when you can expect it to be concluded.
Chris Meyer: Thanks, Bronwyn. I'll take that. So, I mean, I think the most important thing is the fact that the recap, the restructure has not formally closed or been approved at this point. And so, our valuation is based on the current situation, which is pre the restructure and if, and when that restructure comes through we will look at it again and I, with our auditors and take a view. So, I think that's the most important thing to make. To Phillip's question around timing, I think we know as much as you do in terms of the timeframes we know, and we've seen and participated in the broad term sheet being released and announced would have indicated the broad terms of the restructuring. And we know that there are few final steps to take place, before CELC the exact details thereof we are not fully aware of. We are reasonably confident that we are getting close to an end here. I know we've said similar in the past. We watch the situation carefully and just to repeat, we have written it down to, to 0 on our balance sheet and try to be as prudent as possible with the position and managing it from here.
Bronwyn Nielsen: I believe we've got some additional calls on conference call.
Operator: Yes, we do. Our next question is from [indiscernible] from Standard Bank.
Unidentified Analyst: Chris, Steve, Lincoln and Naeem, think the turnaround is going strong, so, congrats on that. The question may be more for Steve. What do you think the impact of RPP will be on Kazang and the connect group if it's launched this year? And do you have any plans on how you roll that forward or that sort of strategy?
Steven Heilbron : Yes. So it's nice to say we've spent a fair amount of time focusing on that impact. I think we would probably prefer to take the answer to this question with you offline Specifically, I think we feel that there'll be a fair impact in both the digital card space, as well as cash, but I would rather want to focus on the fact that RPP also plays into our hands in some regard and breaks open the private club. And so, I'm very excited about what this presents from a FinTech perspective. And we've got some exciting ideas of how we can use that to leverage our position. So, perhaps we can give you a little bit more info on that but offline.
Bronwyn Nielsen: We're staying with conference call, any additional questions?
Operator: No further questions at this moment.
Bronwyn Nielsen: We'll come back to you shortly. What is the timing for producing the proforma numbers that include connect group? And that's from Rob Besinger, he's from Valorian Capital.
Chris Meyer: Rob, so we've got 75 days from dates of closing the transaction, which, the close date was the 14th of April. So, I think that takes us to the end of June. That's the time period that we're working with.
Bronwyn Nielsen: You've launched a few new products in the consumer business over the past few quarters. How are they doing? That's from Judson Taphagen from Plough Penny Partners.
Lincoln Mali : We are looking at very good progress. We think we're gathering good momentum, and we think that all of those results will start to come through as the months come through. But we're quite satisfied with the momentum that the team is displaying on the ground. So, watch this space.
Bronwyn Nielsen: Paul Whitburn from Rosendale partners; recently, a similar FinTech deal was closed by Ethos of Crossfin at a substantial discount to what Net1 paid for connect are the businesses. So meaningfully different that the connect multiple with 2 times higher than Crossfin, and 2 is reasonable to value MobiQuick at the last funding round where many tech businesses have fallen 50 to 70% over the last year?
Chris Meyer: Maybe I'll take the second one first, we come back to the cross one. So, MobiQuick, we value that in line with IFRS and GAAP. Yes, we have it on our balance sheet at the last round, of funding, and nothing material has happened since then that's observable cetera. And so, we continue to hold a position at that level. We stay close to the business, we stay close to their performance, and continue to monitor the situation. I think in terms of Crossfin and, and the connect group, 2 very different businesses in our sense. And there's some degree of overlap, for sure, but we look at the connect group as an end to end, provider of solutions across cash and digital into the merchant space. And by end to end, we mean smart cash management card, acquiring capital and growth through to the provision of various services. And I don't think when you look at Crossfin that you're seeing that entire ecosystem and as we all know, there are other drivers of valuation growth, etcetera. And then I think you would start to compare apples with apples or apples with pears, but rather on these sorts of things. So, Steve, I don't know if you want to come in and comment on it, but that's kind of how we I think we're looking at 2 different things.
Steven Heilbron : Great. And very difficult to compare. As we said, the underlying growth rate that you bought into was a 40%, 5-year compound growth rate. And if I can say that it hasn't been in the easiest trading environment over the last 24 months period. So again, the excitement around that growth based on the pain points that we solve in a better market. But as you said, Chris, I think it's an apples and pears comparison.
Bronwyn Nielsen: Now I have got no more questions coming through on the webcast. Are there any further questions on the conference call?
Operator: Thank you. No further questions on the lines at the moment.
Bronwyn Nielsen: Do you want to give it a little bit more time, or should we wrap? Fantastic. Thank you very much. You have had a long day. Great presenting across the board. It's been fantastic. Lincoln, Steve, Chris, and Naeem. thanks very much for your time. You have been watching the Lesaka investor question-and-answer session. This is the third quarter results for Lesaka Group.